Operator: Greetings, ladies and gentlemen and welcome to the Sportsman's Warehouse Second Quarter 2014 Earnings Conference Call. At this time all participants are in listen-only mode. A question-and-answer session will follow the formal presentation (Operator Instructions). As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Ms. Rachel Schacter of ICR. Please go ahead.
Rachel: Thank you. Good afternoon everyone. With me on the call is John Schaefer, President and Chief Executive Officer; and Kevan Talbot, Chief Financial Officer. Before we get started, I would like to remind you of the Company's Safe Harbor language, which I'm sure you're all are familiar with. The statements we make today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which includes statements regarding our expectations about our future results of operation, the manpower of products and growth of our industry. Actual future results may differ materially from those suggested in such statements due to a number of risk and uncertainties including those described in the Company's 10-Q for the first fiscal quarter filed with the SEC on June 11, 2014; as well as in today's press release included as Exhibit 99.1 to the Form 8-K we furnished to the SEC today. We will also disclose non-GAAP financial measures during today's call. Reconciliations to the most directly comparable GAAP financial measures are provided as supplemental financial information in our press release, included as Exhibit 99.1 to the Form 8-K we furnished to the SEC today, which is also available on the Investor Relation section of our Web site at investors.sportsmanswarehouse.com. Now I would like to turn the call over to John Schaefer, President and Chief Executive Officer of Sportsman's Warehouse.
Schacter: Thank you. Good afternoon everyone. With me on the call is John Schaefer, President and Chief Executive Officer; and Kevan Talbot, Chief Financial Officer. Before we get started, I would like to remind you of the Company's Safe Harbor language, which I'm sure you're all are familiar with. The statements we make today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which includes statements regarding our expectations about our future results of operation, the manpower of products and growth of our industry. Actual future results may differ materially from those suggested in such statements due to a number of risk and uncertainties including those described in the Company's 10-Q for the first fiscal quarter filed with the SEC on June 11, 2014; as well as in today's press release included as Exhibit 99.1 to the Form 8-K we furnished to the SEC today. We will also disclose non-GAAP financial measures during today's call. Reconciliations to the most directly comparable GAAP financial measures are provided as supplemental financial information in our press release, included as Exhibit 99.1 to the Form 8-K we furnished to the SEC today, which is also available on the Investor Relation section of our Web site at investors.sportsmanswarehouse.com. Now I would like to turn the call over to John Schaefer, President and Chief Executive Officer of Sportsman's Warehouse.
John Schaefer: Thank you, Rachel. Good afternoon everyone, and thank you for joining us today. I will begin by discussing the highlights of our second quarter current industry dynamics and the progress we are making against our strategic growth initiatives. Kevan will then go over our financial results in more detail and review our outlook, after which we will open up the call to your questions. Before I begin, I would like to once again thank all our associates for the great job they do. As you know we brag about our associates being passionate users of our products and that translates to high customer service and satisfaction in a low overhead model. Their passion and dedication really make us the local resource for our customers, something that has now been validated by third-parties as well. Now to our results, we are pleased with our second quarter results which came in better than our expectations. Net sales for the quarter were $159.5 million, reflecting a 2.3% increase from the prior year. Unit growth was 17.4% and same store sales declined 6.1% versus the second quarter of the prior year, better than our guidance of down 7% to 8%. We opened four stores during the second quarter, Chico, California; Vernal, Utah; Rancho Cordova, California and Kelso, Washington. These openings reflect our dual strategy of entering into smaller markets where we believe, we can be the main destination outdoor sporting goods retailer as well as larger markets where we are the conveniently located and attractively priced local store for our customers. We are very pleased with the initial performance we are seeing out of our class of 2014 stores. We opened our eighth and final store for 2014 in early August in Pocatello, Idaho and work on our 2015 class is well underway. Looking more closely at our comparable store sales for the quarter, in the second quarter, we continue to cycle the surge in demand for firearm and ammunition categories that began in late 2012 and continued into the first half of 2013. We saw solid performance out of all our other product categories with the strongest growth coming from camping as well as clothing and footwear which were up 4.5%, 4.3% and 5.2% respectively versus last year. We remain very pleased with the progress of all of our in-store initiatives. While traffic on a same-store basis or more specifically customer frequency remain negative, conversion and average order size both improved year-over-year. Now on the profitability, our gross margin was down over the prior year by approximately 40 basis points. Approximately half of this decline was due to the continued success of our loyalty program that was launched last fall. We continue to see increased participation in this program and we are excited for the benefits that it will bring. The remaining difference was primarily driven by gross margin declines in our hunting, shooting and related categories versus the prior year as both price points and demand are returning to historical levels. Adjusted operating income for the quarter was $12.3 million with adjusted earnings per share for the quarter of $0.12, ahead of our guidance of $0.09 to $0.10 and compared to adjusted earnings per share of $0.18 in the comparable period of the prior year. Now I want to take a minute to discuss the current industry dynamics, starting with industry data. Although NAICS data experiences peaks and valleys, we believe that these peaks and valleys were somewhat exaggerated over the last several quarters. When you look at the data over a longer period of time, it shows an upward sloping trend line or a CAGR of 5.9% from 2005 to 2011 prior to the firearm surge. We look specifically at NAICS adjusted background checks which is derived by the National Shooting Sports Foundation. This adjusted data strips out NAICS permit checks used by several states, procuring concealed weapon as well as checks on active concealed weapon permit databases among other things. While not a direct representation of firearm sales, we believe that the adjusted NAICS data provides a more accurate picture of current market and demand conditions. Though July’s NAICS adjusted background checks remain below year ago levels at minus 4.5%, the pace of the year-over-year declines has moderated since January which saw a minus 45.8% decline. We cannot predict exactly when firearms and ammunition demand will begin to normalize, however we are encouraged by these recent trends. We have posted a chart of the NAICS adjusted background check data on our Web site under the Investor Relations section for your reference. We believe the long-term trend line illustrated on this chart help support ours and others hypothesis that our niche in the outdoor sporting goods sector should continue to grow at a healthy pace. In addition to potentially stabilizing industry dynamics, we continue to view market share opportunities as significant. Given the fragmented nature of the industry, there remain substantial market share opportunity for national players like us. With over 60% of $50 billion industry still comprised of mom-and-pop operators. There is ample room for all of the national competitors to co-exist and grow as the data shows us that the ultimate share donors end up being mom-and-pops. More specifically, we look at the adjusted NAICS data by state and we continue to see our market share grow in the states in which we operate and of course in the states in which we open new stores our market share grows even further. Regarding recent ammunition trends, we are seeing supply coming back to normal levels in all but the Rimfire category. However, even in this category in which demand is still relatively strong, we are starting to see inventory availability increased somewhat and that causes us to continue to believe that we should see ammunition demand normalize during Q4 and into 2015. Getting back to the topic of market share, competitive openings are something we monitor closely. Though our individual stores see a near term impact upon the entry of certain national competitors into our market. Our experience has shown us that our business typically rebounds to pre-competition levels in approximately two to three years. In the second quarter, we faced new competition, which we define as a competitor entry within the last 18 months in six of our markets and this group is performing better than we expected, which is reflected in our comparable stores sales number for the quarter. Our Anchorage and Wasilla, Alaska market, and our Missoula, Montana market are two examples of this where both markets have performed significantly better than we expected given competitive entrance. In the Alaska market, we had two major competitors totaling approximately 220,000 square feet open on top of our two stores totaling approximately 100,000 square feet. We expected the short term impact to be relatively severe, especially since the stores open during the busy tourist season, yet we finished the quarter 34% ahead of our plan which as you know is based on the historical performance that we have seen the 13 previous times we were faced with competition with a dramatically larger store size. Missoula, Montana is a great example on another level. As I have stated previously, most of our competitors open stores in our markets that are at a minimum twice our size as was the case in Alaska. In Missoula, the competitive opening was of a similar size to our stores location. For the quarter, our Missoula store finished over 60% ahead of plan and the historical average and in fact was within 12% of the performance of our next closest Montana store that is not subject to any major competition. Again we think this goes along way and illustrating that the major players are taking share from the mom-and-pops and from each other. Finally, a third data point emphasizing our peaceful coexistence premise. Our stores with mature competition, which we define as a major competitor in our market there years or more only declined 2.5% in the quarter. That compares to a decline of 1.3% in our stores in which we have no major competition. So you can there is virtually no difference once the competitive dynamic in a given market reaches maturity. In our opinion, we believe this peaceful coexistence is a result of the key attributes that different us from our competition. We are the largest outdoor specialty retailer in the Western U.S. partially as result of our flexible store format that allows us to profitably service both small and large MSAs. Our low cost, no-frill store concept represents a differentiated approach to servicing the outdoor sporting goods market. We offer everyday low prices, a localized and broad mechanize assortment and convenience for our customers. And as I have mentioned previously, we have outstanding customer service by our passionate store associates. So while we expect an additional four markets will be impacted by new competition prior to our fiscal year end which is fully factored into our outlook, we are confident that our format merchandizing and pricing strategy will continue to generate the Four Wall profitability and return on invested capital that we expect over the long-term. As we move forward, we remain focused on our strategic growth initiatives. I'd like to spend a few moments reviewing these initiatives and the progress we have made. Our first initiative is to capitalize on the significant white space opportunity we see within existing and new markets for our stores. We plan to continue to expand our store base at a unit growth of greater than 10% annually for the next few years as we believe there is potential for Sportsman's Warehouse brand to grow nationally. As important, we have the infrastructure and talent in place to support this rate of growth. Our focus on training and our specific programs to move associates up to department managers and department managers up to store managers in a very disciplined manner is working as evidenced by the fact that 51 of our 55 store managers have been promoted to the position from within with the remaining four stores for which we went outside the Company are being managed by seasoned retail professions with decades of experience. Another key initiative as we look to open more smaller format stores is the implementation a new fixturing strategy. The fixturing in our newest 30,000 square foot store enables it to hold approximately 70,000 SKUs, the same number as our 42,000 plus square foot stores. This development is exciting for us as it has the potential to increase our sales while maintaining the smaller, flexible store format. Our industry leading new store economic support our long term growth runway. As a reminder, our new store underwriting model targets average year one sales of $9.5 million and more and Four Wall adjusted EBITDA margins of over 10%. We target ROIC of greater than 20% including our upfront inventory investment or greater than 50% excluding it. Store classes since 2010 have surpassed these targets with an average ROIC of 40.2% including inventory and a payback period of 2.5 years or double the targeted ROIC level of our standard new store model. As we open more of these 30,000 square foot stores, we continue to see evidence that we can achieve our targeted returns at something less than $8 million in net sales per store. Driving same store sales growth through in store initiatives is the second element of our of our growth strategy. In the second quarter we completed the planned remodels of an additional three stores to expand our clothing offerings by reallocating an average of 2700 square feet of storage space to selling square footage. We have now remodeled 31 stores over the past two years. Given this reallocation of space, we continue to implement our store within a store clothing initiative, which allows us to better present major brands like Under Armour and Columbia to our customers. In the second quarter, these 31 stores with increased square footage performed 10% better than the stores without this concept, which we find very encouraging. But more important, with our new fixture presentation, we are now able to showcase the score within a store concept not only in 100% of our 40,000 square foot and above stores, but also within our 30,000 square foot format stores. We also remain focused on enhancing operating margins through increased penetration of our private label products in addition to the work in clothing and footwear with major brands. As of the end of the second quarter, private label represented 2% of sales, representing a 40 basis point increase from the second quarter last year. We continue to believe there is an opportunity to gradually increase our private label penetration over time. And of course, as we continue to grow, we anticipate leveraging our fix cost over a larger base of store. Touching on our longer term outlook, we continue to believe that our flexible store format, white space opportunity, margin improvement initiatives and go to market strategy all support our longer term outlook for top line growth of greater than 10%, EBITDA growth in the mid-teens and net income growth of 25%. We remain excited about our business and the many opportunities that we have to expand the brand and grow the company. Now over to Kevan to discuss our financials.
Kevan Talbot: Thanks John, good afternoon everyone. I’ll begin my remarks this afternoon with a review of our second quarter results and then discuss our outlook for fiscal 2014. As John said, our top line results were better than our expectations. Net sales increased in the second quarter by 2.3% to $159.5 million, up from a $155.9 million in the second quarter of last year. Same store sales during the quarter decreased by 6.1%. Excluding sales of firearms and ammunition our same store sales decreased 1.4%. If firearms and ammunition and all shooting related categories including optics are excluded, our same store sales increased 1.1% during the quarter. Turning to our same store sales by each of our three store groupings, which are one, base stores; two, new stores or acquired stores that have been in the comp base for two years or less; and three, stores that were subject to competitive openings, which we define as a new competitive entrance into a market within the past 18 months, in the second quarter excluding the six stores in our comp base that were subject to competitive openings, our same store sales decreased 2.3%. Our 23 base stores saw same store sales declines of 4.3%. However our 17 new stores saw same store sales increases of 1.3%. Our six stores that were subject to competitive openings experienced a same store sales decline up 22.9%, which as John discussed was substantially better than our plan. Gross profit in the quarter was $52.8 million, compared to $52.2 million in the second quarter of fiscal 2013. Gross margin as a percentage of net sales decreased 40 basis points to 33.1% from the 33.5% in the corresponding period from last year. The decrease in gross margin as a percentage of net sales was driven primarily by our loyalty program and lower gross margin in firearms, ammunition and other related product categories as a result of supply returning to historical levels in the second quarter of fiscal 2014 versus the search driven conditions of the prior year period. We continue to experience success in the adoption of our loyalty program that we launched in November of 2013. Participation in this program has exceeded our expectations and the awards from these transactions negatively impacted gross margins compared to the prior year when we did not have the loyalty program in place. We expect that the adoption of our loyalty program will continue to grow across our customer base, generating more frequent customer visits over time and higher average tickets along with the associated benefits that come with these metrics. SG&A expenses for the quarter of $40.5 million increased from $36.1 million in the second quarter of fiscal 2013. As a percentage of sales SG&A expenses increased to 25.4% from 23.2% in the corresponding quarter of fiscal 2013, primarily as a result of stock-based compensation expense and increased payroll, rent and pre-opening expenses from our new store locations. Income from operations for the quarter decreased to $12.3 million as compared to income from operations of $16.1 million in the second of fiscal 2013. The year-over-year decline was driven by lower gross margin percentage and increased SG&A as a result of the factors I just described. Our net interest expense in the second quarter of fiscal 2014 was $4.1 million compared to $3.4 million of interest expense in the second quarter of fiscal 2013. Our average borrowings increased over the prior year period, primarily due to the $110 million in additional borrowings on our term loan facility caused by our August 2013 refinance of this facility. Since we used the IPO and overallotment net proceeds of $73.3 million to pay down the balance on our term loan, our average borrowings and our quarterly interest expense decreased from the first quarter of fiscal 2014 and we anticipate our quarterly interest expense will remain in the range of approximately $4 million to $4.5 million for the remainder of the fiscal year. Our effective tax rate for quarter was 38.5% compared to 39.6% in the corresponding quarter last year. We anticipate our effective tax rate for the remainder of the fiscal year to be approximately 38.5%. This reduction is a result of a decrease in our effective state tax rate as we opened stores in states with no state income tax. I will now discuss adjusted net income and adjust earnings per share that is based on pro forma diluted weighted average shares for the quarter. A reconciliation of GAAP net income and earnings per share to these adjusted numbers on a pro forma weighted share basis as well as a reconciliation of the other non-GAAP measures we referenced can be found in the financial payables including in our earnings press release issued today. Adjusted net income for the quarter was $5.1 million or $0.12 per share based on $42 million diluted weighted average shares outstanding as compared to adjusted net income of $7.7 million or $0.18 per share based on $42 million adjusted diluted weighted average shares outstanding in the second quarter of fiscal 2013. Adjusted EBITDA for the second quarter of fiscal 2014 was $16 million compared to adjusted EBITDA of $17.9 million in the prior year period. We ended the second quarter of fiscal 2014 with $1.7 million in cash and cash equivalents on our balance sheet and $62.9 million in outstanding borrowings with $23 million in borrowing availability under our $105 million credit facility. Ending inventory was $207.4 million as compared to $177.8 million in inventory as of the end of the second quarter of fiscal 2013. However on a per store basis, inventory was flat when compared with the prior year, which we consider an important data point. As we enter the third quarter, we are very pleased with the quantity and quality of our inventory, including firearms, specifically the MSR type firearms. As we noted on our first quarter call, we did not overbuy these categories during the surge and therefore we are not faced with excess inventory that we will have to sell outside of our normal and historical promotional patterns. Turning to the outlook, we are reiterating our full year sales and EPS guidance. For all of the details around our third quarter and full fiscal year outlook, please refer to our press release available on the Investor Relations section of our Web site. Regarding our net income guidance for fiscal 2014, I want to remind you that our guidance includes stock-based compensation expense for the restricted stock units that were granted to certain employees in the fourth quarter of fiscal 2013. In the second quarter, our stock-based compensation expense was approximately $500,000 and we expect similar amounts of stock-based compensation expense in each of the third and fourth quarters for a full fiscal year total of approximately $3.2 million. This amount compares against $400,000 of stock based compensation expense in fiscal 2013, all of which was recognized in the fourth quarter. As mentioned on our first call earnings call, in fiscal 2014, we will incur incremental costs including additional payroll and professional fees associated with being a public company, representing roughly $1.5 million with approximately $400,000 of this total expected to be incurred in each of the remaining quarters of our fiscal year. As it relates to capital expenditures, we continue to anticipate incurring approximately $23.2 million of CapEx in fiscal 2014, of which we have already incurred approximately $19.6 million during the first half of the year. The remaining $3.6 million will be spent on planned improvements to our IT infrastructure, the one additional store that was opened in the third quarter and fully equipping our recently opened distribution center. And with that, I would like to turn the call back over to the operator as we open up the call to questions.
Operator: (Operator Instructions). Our first question comes from the line of Seth Sigman with Credit Suisse. Please proceed with your question.
Seth Sigman - Credit Suisse: I have a couple of questions about the gross margin. It was nice to see the improvement this quarter I guess relative to last quarter. One thing you pointed to was the normalizing of pricing and promotions within the guns and ammo category as I guess the supply-demand situation has started to normalize there. At what point is that no longer in issue? At what point last year or in the last few quarters did that already start to normalize and maybe it becomes less of a drag going forward.
John Schaefer: Seth, I think it’s starting to normalize now. There is still some excess pricing going on in the ammunition, but I think as we enter this second half of fiscal year, we’re going to see what you saw in 2011 and 2012 in terms of price points and margin on both firearms and ammunition. I think short term we're going to see some mom-and-pops do a lot of promoting, because they have an overall allotment of mainly the MSR type firearms. I think there is a backlog in the distribution channel and that’s the result of a huge backlog in the mom-and-pop channel. But for the national players including us, I don’t think you’ll see any of that and we won’t need to promote that. So I don’t think you’re going to see any excess promotion impacting margin, but I do think you’re going to see margins returning to 2011 levels if you will in those categories.
Seth Sigman - Credit Suisse: Okay. And I guess just in general, as you think about the EPS guidance that you provided for the back half of the year, how would you think about margins? What’s kind of implied there, the combination of the activity and also obviously the loyalty program having a little bit of an impact too? How do you think about merchandise margins in the back half of this year?
John Schaefer: Well, I'll let Kevan talk specifically if he has any comments on the specific merchandising margins. But I think our overall guidance remains the same and I don’t see us doing anything outside of the norm in terms of a promotional environment. I think most of the national players are back to a normal scheduled promotional pattern and that’s where we are as well.
Kevan Talbot: Yes, the goal was what John has said already. We don’t expect significant pricing pressure from the national players. There is a little bit of pricing pressure that we see coming from the mom-and-pops as they -- I don’t want to say liquidate, but as they get rid of their excess inventory as they over purchase. So we have some slight declines to what we had originally expected with respect to gross margin, but not significant and that allows us to maintain our EPS guidance going forward.
Operator: Thank you. Our next question comes from the line of Peter Benedict with Robert W. Baird. Please proceed with your question.
Peter Benedict - Robert W. Baird : A couple of questions. First, good to hear the competitive stores doing better than your plan. John, anything different you’re doing with those stores in response to these opening? What do you chalk this, the better performance up to?
John Schaefer: We’re not doing anything different in terms of we didn’t promote or anything like that. I think we’re just doing a better job of blocking and tackling and that’s come over time as the experience of our store managers has increased, as our training programs have kicked in, as our customers have realized that we’re a pretty good place to shop. Sometimes it takes a competitor to enter into a market for people to who appreciate how good you are at customer service. And I think all of those things as well as -- we’re a growing company. So I think we’re known a little more, especially in the Western United States and especially in those markets in which we face competition. So I think our brand is strong in those markets and I think all of those factors really help us maintain where we want to go and beat the historical averages we’ve seen. In those stores where we have been impacted by competition, we have been in those markets for quite some years. We’ve been in the Alaska market for over 10 years now. We have a very loyal customer base and I think that’s part of the factor as it well, that we have been well established in lot of these markets for a number of years.
Peter Benedict - Robert W. Baird: Okay. That’s certainly helpful. And then just on the new fixtures, how many stores is it in right now, and when do you expect -- what's the cadence in getting those into all your stores?
John Schaefer: Well it is in the -- it is only in one store now, the store we opened in Pocatello, Idaho was the first store in which we gave it a shot and we were incredibly pleased with our ability to get 70,000 SKUs in that store. So every store going forward will have that fixturing strategy in place and that really allows us to put as many SKUs in 30,000 square feet as we got in 42,000 square feet. Then what we’ll probably do is do certain fixturing changes in our other stores to make sure we can do the store within a store in all of our stores. So we don’t need to change our fixtures in the 31 stores in which we’ve expanded the clothing area because we have plenty of room. But there are 15 or so stores that are above 30,000 square feet, below 40,000-42,000 square feet that we were not able to expand. Those are the ones that we will put new fixtures in. It’s our intent to get that done in the next year or maybe a little longer than the next year, based on the cadence of sales in new store openings.
Operator: Thank you. Our next question comes from the line of Mark Miller with William Blair. Please proceed with your question.
Mike Signore - William Blair: This is actually Mike Signore for Mark. Just had a question on the new store pipeline for next year. I guess you guys have kind of announced several openings, wondering how the effect from competition from some of those or some of the existing stores is kind of pulling it out as you see it right now and if it's going to be kind of more of an impact next year versus this year or less of an impact or vise-versa?
John Schaefer: Kevan can point to the exact stores that we know about that will be competitive openings next year. I don’t have that number in front of me, Kevan does. Our new store pipeline for next year is the same as always. It’s a mix of opportunistic locations in larger markets and new store openings in smaller markets, where frankly you really can’t justify a store greater than 40,000 square feet. We have a number of stores we have announced to. We have probably several that we are getting very close to announcing, although I don’t want to announce them on this call yet today. And our pipeline for the back half of 2015 and 2016 is relatively robust. So we have plenty of stores to choose from, when we decide to move forward.
Kevan Talbot: With respect to your question on competition, as John mentioned in his remarks during the script, there currently are six stores that are in that new competitive category. There are four more that we anticipate before the end of our fiscal year. And as of right now we are aware of an additional five stores that will be impacted by competition in 2015. So if you take the 10 stores from 2014 to the five stores from 2015, we actually expect less of a competitive impact next fiscal year than we do this fiscal year.
Mike Signore - William Blair: Okay, great and then just a quick question on the comp outlook for the remainder of the year. So obviously the sequential trends are getting a lot better and it looks like if you hit the low end of your Q3 guidance and you come in at the low end for the full year that the comps can actually be positive in the fiscal fourth quarter. Is that right and how realistic is that versus the other way I guess?
John Schaefer: I'm not going to provide guidance of that specific nature. I think we're reiterating our full year guidance. I think if you look at the trends, fiscal Q1 for us was down 18.1%. Calendar Q2, which I think is an important data point was down 8.9% and fiscal Q2 was down 6.1%. So, you can see the trend and act accordingly.
Kevan Talbot: Again referring the NAICS data, the NAICS data also show sequential improvement as well. So those are good data points from a historical basis. And again we're reiterating our full year guidance with respect to that outlook.
Operator: Thank you. Our next question comes from the line of Matt Nemer with Wells Fargo. Please proceed with your question.
Matt Nemer - Wells Fargo: I just wanted to follow-up on that last question and if we look at the NAICS data, what is your sense for when that data could be positive, if you have any thoughts on that and then same for ammo. It seems like ammo was very strong through sort of the end of last year. So, just wanted to get your thoughts on when both of those could turn positive?
John Schaefer: Well I don’t know that we can sit here and tell you when we think they're going to turn positive. The NAICS data, historical data from the National Shooting Sports Foundation is on our Web site. I think there is a huge spike that has to be made up somewhere. I think if you look at the trends, the trends are growing at 5.9% or better. So I think that’s positive for our entire industry and I think those trend lines overall will continue. What we're looking at specifically and I think this might be only us, is we believe that the values will be maintained where they are, which is not bad from historical perspective but the peaks might be a little shorter going forward. What that translates to is I think it translates to an up and down kind of comparison on a month-to-month basis, on a quarter-to-quarter basis but overall I think you'll see an increasing line. So because I think the peaks will be a little smaller, I really don’t have an opinion on when a turn will occur to the positive. But I certainly think over time you will see the return to the positive and if you look at the historical numbers, clearly this is a growth industry over time and I think we'll see that happen. As it relates to ammunition, the one caveat I'll talk about in terms of ammunition is there has been a huge spike in ammunition sales and ammunition demand last year. And what you would have thought this year, based on that purchase of that much ammunition is you would have thought that you have had more shooting going on. Now while targets and cleaning supplies are only two categories, we kind of look at those categories in relation to firearms sales to really kind of see what the usage of ammunition is. And what we're seeing is we're seeing that those categories have increased but they frankly should have increased a little more. So what we’re seeing as we’re seeing that there is probably some hoarding going on in ammunition and while that doesn’t cause us to pause, it does cause us to not really be able to tell you at what point will people start feeling they no longer need to hoard the ammunition and they can start increasing their shooting. The positive of this is that there is still demand that’s in excess of supply in the Rimfire category; and the Rimfire category is where all the new shooters come in and I think we and others have spoken of the 20% of people buying firearms are new users and this really kind of gives us hope that the supply will start normalizing with demand in the Rimfire category and there will be plenty of Rimfire over the next -- into 2015 and beyond to support the increase in new users, and I think that gives us a positive side of this, this hoarding that I think we’re seeing in a short term basis.
Matt Nemer - Wells Fargo: That’s very helpful and then secondly, it sounds like the new fixtures open up an opportunity to do a lot more remodels and I'm wondering if you can just give us an update. I may have missed this if you provided it, but how are those clothing remodels doing? I don’t know if there's a way to look at that, that side of stores or maybe just that department, give us a sense for what happens when you add that in?
John Schaefer: On the stores in which we’ve done the store within a store and expanded the area to do store in a store, those stores have performed 10% better than the stores that didn’t have a store within a store concept. So while we had to put money into expanding the stores previously, we now do not have to do that. We just have to put the money into new fixturing because the fixturing is -- we lost a whole lot of cubic space with the plywood fixtures and things we have. And the new fixturing makes a lot better use of the cubic space of the store. And as a result, there's 50 new sort of stores that at this time three months ago we were saying just can’t have store within a store, and the ability to do store within a store in the 30,000 square foot format was a little bit iffy. Now I can clearly say that we can do store within a store in all of our stores and I think that’s a huge organic growth opportunity for us going forward and we’re really excited about getting that thing going.
Matt Nemer - Wells Fargo: And then just one last one if I could. Just love to get your take on what you’re seeing currently in terms of getting close to hunting season, people prepping for hunting season. Any update on demand or traffic or what you’re seeing in the market right now would be helpful?
John Schaefer: Well, I think we’ll say the same thing I think others have said, that the retail environment is kind of tough right now. We don’t have the benefit of a back-to-school season. So we can’t really gauge what the need demand will be, and frankly as we go into the third quarter, there isn’t not a lot of need. The fall hunting season really starts late September, early October. We’re encouraged by what we’re seeing in the last several days as we approach that time, but I don’t know that I can give you a definite response overall on what’s going on other than what we said before, which is we believe that with the availability of hunting ammunition this year, that was not available last year, with the increase in new shooters into the market and with the surge in demand moderating now along with the -- I think the ability of our customers to replenish their wall, which we saw going on for the last couple of quarters where we really saw that; they weren’t spending a whole lot except when they really needed to spend the money. I think all those signs point to a pretty decent and encouraging hunting season for us going forward.
Operator: Thank you. Our final question comes from the line of Andrew Burns with DA Davidson and Company. Please proceed with your question.
Andrew Burns - DA Davidson and Company: From your commentary and what we’ve heard from your competitors and firearm manufacturers, it sounds like the weakest area of the firearm market is clearly the MSR space. I was hoping that you could perhaps quantify that as a percent of the mix or give us any sort of data to help us better understand sort of way that category peaked out at, what its shrunk to is in relation to your overall revenue? Thank you.
John Schaefer: I don’t have those numbers off the top of my head. I can tell you that as a percentage of the firearms mix, we are back to a more normal level as to where we were before this big surge occurred. I don’t recall off the top of my head. So I don’t want to quote an incorrect number here with respect to that, but it has returned back to normal levels. But one thing that we’re -- with respect to the MSRs and I pointed this out in my comments, is that from an inventory perspective, we feel very comfortable both with the quantity and the quality of SKUs that we have in that MSR category. For a while there, it was quite crazy, the demand in that and that caused a little bit of growth in the number of SKU count. We have paired that back to those SKUs that we feel very comfortable with, that we can sell at normal price points without having to liquidate things and we’re very comfortable with the quantity that we have on hand of those items.
Andrew Burns - DA Davidson and Company: Okay, thanks and then I believe I heard that the clothing comp was positive 4.2%. I believe it was double digits last quarter. Is there anything to call out there or was it -- how it performed relative to your expectations?
John Schaefer: With respect to the clothing, last year we -- after we acquired the 10 stores, we did a significant liquidation at the end of the second quarter into the beginning of the third quarter. So I think last year sales were little bit artificially inflated. We also have just barely been putting out the fall categories, which is the fresh reset. It’s going on during the third quarter. So we're still very pleased with respect to the results of our clothing. The number did decline a little bit but as I indicated, last year’s sales were little bit inflated as we liquidated some of the inventory from the 10 stores that we acquired.
Operator: We have one more question from the line of Matthew Fassler with Goldman Sachs. Please proceed with your question.
Steve Cannell - Goldman Sachs: It’s Steve Cannell for Matt. I wanted to just focus on one comment. I think you guys said that you may be sort of focusing on markets that generally can’t support larger stores and I’m wondering if that’s a bigger focus now or a bigger part of the strategy than it had been or if that marks any sort of a change at all in your thinking.
John Schaefer: I don’t think it marks any sort of change in our thinking. We have numerous sites that we are looking at. I think what you’ll find is you’ll find that -- that this thing will ebb and flow. Clearly with all of the national players growing, the capacity for certain larger markets to handle numerous entrants is declining and I think we have a significant competitive advantage in those smaller markets where we can go. So probably over time, we will be looking at smaller markets. But we haven’t purposefully changed our strategy at all. Time will tell and the numbers will tell us where to go.
Steve Cannell - Goldman Sachs: Got it, okay. And then on the same store sales guidance for the third quarter, is there still sort of a ramp here as we get through the quarter? I think if I look at mix it looks like maybe the August compare was tougher than September, October and then you normalize but I was sort of wondering if you’re sort of tracking the guidance or there is some ramp that we should see through the quarter here.
John Schaefer: We haven’t talked specifically about months. I can tell you that we’re comfortable with the guidance that we have provided with respect to the same store sales guidance there. So, we haven’t talked specifically to the months. So I don’t know exactly how to answer that question but providing information that we’re not going to provide.
Steve Cannell - Goldman Sachs: Okay, fair enough. And just lastly, if you have any thoughts and sort of the relative strength and handguns versus rifles or long guns lately? Any reason in your minds, why we’re seeing that?
John Schaefer: The strength of handguns versus long guns is what you’re asking?
Steve Cannell - Goldman Sachs: Yes, the trend in handguns have been very, very healthy even year-on-year.
John Schaefer: Yes, I think that’s there is a couple of reasons. Home security I think is a reason. I think clearly new entrants into the market are looking at shooting as much as people are looking at hunting and that lends itself to stronger handgun sales. And I think women entering the market are generally -- and I don’t -- I have anecdotal evidence on this. I don’t have factual evidence but I think most people in our niche of the market would agree that most of the women entrants into the shooting sports are in to the handgun shooting sports first. That doesn’t mean they won’t go to long guns. We see transitions of women going to long guns all over the place, but it think their entrance -- their point of entrance is a handgun.
Operator: Thank you. I’d now like to turn it back to management for closing comments.
John Schaefer: Great. Thank you for joining us today. We look forward to speaking with you when we report third quarter. Have a nice day everybody. Thanks.
Operator: Thank you. Ladies and gentlemen this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.